Operator: Good morning. My name is Lisa and I will be your conference operator today. At this time, I would like to welcome everyone to the TMX Group Third Quarter 2013 Analyst Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. Mr. Paul Malcolmson, you may begin your conference.
Paul Malcolmson: Thank you, Lisa and good morning. Thank you everyone for joining us today for the third quarter 2013 conference call for TMX Group. As you know, we announced our results earlier this morning. A copy of our press release is available on our website, tmx.com, under Investor Relations and also on SEDAR. This morning, we have with us Tom Kloet, our Chief Executive Officer; and Michael Ptasznik, our Chief Financial Officer. Following opening remarks from Tom and Michael, we’ll have a question-and-answer session. Before we begin I would like to remind you that certain statements made on the call today may be considered forward-looking, and I would refer you to the risk factors that are contained in today’s press release and reports filed by TMX Group with regulatory authorities. Now I'd like to turn the call over to Tom.
Thomas Kloet: Thank you, Paul, and good morning everybody and thank you for attending this morning's call to discuss TMX Group Limited's third quarter results. As we usually do, I will spend the first few minutes on our operational performance for the quarter that ended September 30; and then I will provide a brief update on our business initiatives efforts. I will then turn it over to Michael to discuss our financial results with you. It is clear, that the Canadian capital markets continue to be sluggish, particularly, in equities financing and trading. The third quarter is typically the slowest quarter of the year, reflecting a summer slowdown of sorts. Unfortunately, the third quarter of 2013 was similar to the third quarter of 2012. That's the reality we face at the moment. Last week, I was at the World Federation of Exchanges Annual Meeting in Mexico. I can tell you, that this is the reality with many of my exchange peers as well, which is a result of equity trading operations. We are confident that the tide will turn in time. But regardless of the challenging operating environment, we remain completely committed to providing the best capital market infrastructure in Canada. I will begin my review of TMX Group's operations with our equity business. Despite the overall market malaise, there were 46 new listings on Toronto Stock Exchange, and the TSX Venture Exchange in the third quarter of 2013, compared to 45 in the third quarter of 2012. In early September, we were happy to announce that we had achieved a new ETF listings milestone. There are now more than 300 exchange traded product listed, with a total market cap of approximately C$70 billion. The number of listed ETFs have grown by 40% in just the past two years alone. It's also encouraging to note, that there 21 IPOs in the third quarter of the year, which compares favorably to the third quarter of 2012, when there were 11. On a year-to-date basis, IPO dollars raised was up 127%. Our combined total equity capital raise was down 36% in the third quarter of 2013, compared to the third quarter of 2012. The number of financings was also down in Q3 2013, with 469 compared to 529 in the same quarter of last year. Turning to trading, combined total volume on Toronto Stock Exchange, TSX Venture Exchange, Alpha and TMX Select, was down 10% compared with the third quarter of 2012. However, there was a 6% increase in trading volumes on our venture market in the third quarter, compared to the prior quarter, which was very welcoming. Even so, it is clear that the TSX Venture Exchange company continues to feel the effects of broader economic uncertainty. As I said before, in our experience, the performance of TSX Venture Exchange is more sensitive to macroeconomic factors, and somewhat slower to regain investor confidence. But we do expect that TSX Venture Exchange will see a rebound. The question is when, not if. While we are waiting for equity markets to improve, we are doing what we can do to support our listed issuers. For example, TSX-V introduced some rule changes, that are helpful to companies, including reducing the minimum price for warrants, options, convertible securities and IPOs, and changing shareholder approval requirements for share consolidations. Our acquisition of equity transfer and it's integration into the TMX Group, offers us the chance to further help some of our issuers, with enhanced transfer agent and share registry services. We are also doing what we can to increase overall investor interest in the Canadian capital markets, through our global business development efforts. For example, last week we wrapped up our US Equity Financing Road Show, with events in Houston and Dallas. Looking at our derivatives business, M-X had another good quarter. There was a 3% increase in trading and clearing volume in the third quarter of this year, compared to the third quarter of last year. This was led by a 0.7% increase in [industry] futures volume, somewhat offset by a reduction in equity derivative volume. M-X volumes are up 2% in 2013 on a year-to-date basis. SOX trading volume in the US options market was down 40% in the third quarter of 2013, compared with the third quarter of 2012, due to a decrease in overall market share. At NGX, trading and clearing volume was up 7% in the third quarter of this year, compared to the third quarter of 2012. It was the power segment that accounted for most of this upturn, because of increased volatility, and increased liquidity. Another factor in the increased volume, was the alliance that NGX formed with NASDQ OMX commodities during this third quarter. Under this agreement, NOCC transferred its fiscal energy products to NGX, where they are cleared. The NGX fiscal power clearing service was successfully launched in early September in the ERCOT market in Texas. Other parts of TMX Group were also active in the third quarter, as ramping initiatives that enhanced our competitive solution. In August, our new world leading trading engine, TMX Quantum XA was successfully implemented on TMX Select. TMX Quantum XA provides dramatically improved speed and response times of approximately 30 microseconds. Yes, we mean microseconds. The new engine also delivers improved latency variability and capacity. We have had some very good feedback from our customers on its performance since its launch. Now TMX Select is the first TMX equity market to migrate on to this new platform. We are planning to have Toronto Stock Exchange, TSX Venture Exchange and Alpha make the shift to TMX Quantum XA, beginning in mid 2014. Also on the technology front, we recently implemented an important upgrade to Montreal Exchange's solely derivatives trading platform, that dramatically improved trading system performance, and order management capacity. At the end of August, we announced the launch of new analytics feeds for options traded on MX. TMX Datalinx also makes the feed available to the option trading committee, through TMX Atrium's global network and other content distributors. And at the end of September, Montreal Exchange launched it's third options trading simulation contest. This year, there are almost 800 teams registered from 19 universities in five provinces. Canada lags other countries in use of options trading among retail investors. So now, this program provides finance with the solid foundation in options trading, before they embark on their careers. It also helps to raise awareness of options trading, which is part of our long term business growth strategy. I also want to briefly mention another financial education initiative that TMX is undertaking. Next Friday, we are announcing a new financial literacy program. As the only candidate to capital markets, we are uniquely qualified to provide experts impart information about trading. So we have created a resource that will provide Canadian investors with the real world, but risk-free market experience, as well as access to educational tools to enrich their understanding, as how the capital markets work. Turning to corporate initiatives, at the end of September, we announced that we successfully completed private placement offering of C$1 million of senior unsecured debenture, and amended the terms of our credit agreement. We were pleased both with the interest in our offering, and of course, with the results. But I will leave it to Michael's comment on that development in more detail. Turning to third quarter, we continue to make progress on the integration of TMX Group Inc., CDS and Alpha. In fact, we have now ceded our target to achieve annual cost synergies of approximately C$20 million on a run-rate basis in the first quarter of 2014. In the first nine months of 2013, we have realized approximately C$14 million of these net synergies, and we now expect to achieve annualized net synergies of C$28 million on a run-rate basis. Our employee team has done excellent work here, and I am very pleased with output of these efforts and the long term implications of it. With that, I will now turn it over to Michael to review TMX Group Limited's third quarter 2013 financial performance.
Michael Ptasznik: Thanks Tom and good morning everyone. I want to start by reminding you of the reporting method we are using in today’s earnings release and MD&A. In order to present meaningful operational comparatives, our discussion of Q3 2013 revenue and operating expenses is compared to what we would have reported as TMX Group Inc. for three months in Q3 2012, with the additions of CDS and Alpha for two months, August and September 2012. We also have three months of results for Equity Transfer in Q3 2013, which we acquired in early April of this year. Revenue was C$165.3 million in the third quarter, a 2% increase over the C$162.3 million of revenue reported in Q3 of 2012. The increase, relating to the acquisitions which I just mentioned is C$10.7 million. In addition, there was an increase in trading and clearing revenue from MX and CDTC in Q3 2013, compared to Q3 2012. The increase in revenue, was partially offset by the reduction of revenue, resulting from the sale of PC bonds at the beginning of Q2 2013. Lower additional listing fees, and lower trading and Information Services revenue from BOX. Operating expenses were C$106.4 million, up C$6.2 million or 6% from C$100.2 million in Q3 2012, largely due to the combined operating expenses from CDS and Alpha net of synergy and Equity Transfer for all three months compared with expenses from CDS and Alpha for only two months in 2012. Our operating expenses in Q3 2013, included amortization of intangible assets, related to our acquisitions of TMX Group Inc., CDS, Alpha, and Equity Transfer of C$9 million. As Tom mentioned, we had exceeded our targeted annual cost synergies of approximately C$20 million, and now expect to achieve annualized net synergies of approximately C$28 million on a run-rate basis. Overall, income from operations in Q3 2013 was down 5% as compared with Q2 2012. On a reported basis, diluted earnings per share was C$0.35 in Q3 2013. Adjusted diluted earnings per share was C$0.75, excluding C$0.22 per share related to credit facility and refinancing expenses, C$0.14 per share of amortization of intangibles related to acquisitions, and C$0.04 per share related to integration costs. The C$0.20 per share includes the write-off of C$18.5 million of prepaid financing fees, related to establishing the credit facility in 2012. The amount is net of C$2.9 million pre-tax gains relating to unwinding and de-designating interest rate swaps. With the write-off of the prepaid financing fee, our amortization of these fees will decrease by about C$1.3 million pre-tax in Q4 2013. In addition, with the successful debenture issuance, and amendment of our credit facility, we expect our interest rate expense to be reduced by about C$3.5 million on a pre-tax basis in Q4 2013, based on current debt levels. Looking at our financial results on a sequential basis, including CDS, Alpha and Equity Transfer, revenue in Q3 2013 decreased by C$17 million or 9% from the previous quarter. This was primarily due to market conditions and seasonality, that resulted in lower additional listing fee revenue, as well as reduced cash market and derivatives market trading (inaudible). Operating expenses in Q3 2013 decreased by C$8.6 million or 7% compared with Q2 2013, primarily due to lower information and trading system costs, reflecting lower fees to ICE, a decrease in project costs and lower Atrium expenses. In addition, there were reduced G&A costs reflecting lower bad debt expenses and overall reduced operating expenses, due to the realization of integration synergies. As a result, income from operations decreased by 12% quarter-over-quarter. Our reported earnings per share decreased by C$0.12 per share in Q3 2013 versus Q2 2013, primarily due to the decrease in income from operations. From a balance sheet perspective, as mentioned, we have effectively restructured our credit facility, through a combination of C$1 billion debt offering, and in (inaudible) credit agreements. This has resulted in a lowering of our overall effective interest rate, as reflected in the aforementioned interest savings, as well as the extension of the term of almost half of our debt beyond three years. And finally yesterday, the board declared a quarterly dividend of C$0.40 per common share to be paid on December 6, 2013, to shareholders of record on December 22, 2013. At this point, I will turn things back to Paul for the Q&A session.
Paul Malcolmson: Thanks Michael. Lisa, could you please outline the process for the question-and-answer session?
Operator: (Operator Instructions). And our first question comes from the line of Jeff Fenwick from Cormark Securities. Your line is open.
Jeff Fenwick - Cormark Securities: Hello. Good morning.
Thomas Kloet: Hey Jeff.
Jeff Fenwick - Cormark Securities: I guess, the first area I'd like to talk about is equity trading. Obviously, a tough quarter there. One thing that does stand out is market share erosion, and it looks like that has been a trend that's ongoing this year. Could you give us a little color around what has been at play, with the competition, and what are you going to do about addressing that?
Thomas Kloet: I think there is three things that are embedded in that, market share exchange Jeff. The first one is, embedded in that outflow was the interest spread facility, which the dark rule changes also significantly, and that business has changed a lot, as a result of that. I think it represented somewhere around 2% to 2.5% of their market share. Secondly, when we migrated Alpha to the Quantum platform, some of the latency arbitrage that might have gone on between the two systems, went away as well. Then the final thing is the stats I think you are looking at, would include the fact that, one, marketplace out there is actually paying people to post their crosses on it, something that we are not prepared to do. We are not prepared to pay people to post a trade that -- where the price discovery hasn't happened on our market, where there is no revenue for it. And that has accounted for some of that market share reduction as well. I think, those are the three key factors around which the market share reduction has happened.
Jeff Fenwick - Cormark Securities: Okay. I guess within that, there were some recent fee changes that you announced as well. Are we looking at the prospect of may be some lower fees around equity trading, or is this just adjusting sort of incremental adjustments I guess?
Thomas Kloet: I think it's the latter. I think they, for the most part, are going to neutral to us.
Jeff Fenwick - Cormark Securities: I guess just secondly on the expense side, obviously a pretty nice step down sequentially here, particularly, in the areas of IT and G&A. Was there some facilities closed, or something that would account for the big step-down in the G&A line for example, quarter-over-quarter, and is this probably more of a representative level of where you think with the synergies, they [didn't hear] we are going to be running over the next few quarters?
Michael Ptasznik: Well there is definitely some permanent savings in the reduction that we saw, as a result of the synergy for some of the other cost saving initiatives that we have been undergoing. That said, there were also -- we typically also have some seasonality in our Q3 expenses as well, as we slow down some of our initiatives in our marketing programs. If you look at our G&A, one of the other reductions we had in there as we mentioned, is a bit of a lower bad debts, which is a little bit -- that will fluctuate from quarter-to-quarter. So there is definitely some of that which is permanent, and some of it was probably more seasonal, given the fact that we don't do as much marketing programs during the summer.
Jeff Fenwick - Cormark Securities: Okay, and I guess on that synergy number, pretty nice step up from C$20 million to C$28 million run rate. Was there more something in large in particular, that you found that helped you there, or was it just updating of all your efforts?
Michael Ptasznik: Really, it was updating of all the efforts, and we did identify additional savings on both the Alpha and CDS, and integrate the businesses. So we were pleased that we were able to uncover some more synergies through a reduction of space, through complete movement of the technology, Alpha program on to the TMX technology. And so it's really just across the board, that there weren't any one or two specific items.
Thomas Kloet: The other thing we have done is, we have really right-sized a lot of the overall expense base of CDS as well, and we are -- we have still some work to do there, but we will make great efforts there.
Jeff Fenwick - Cormark Securities: Okay great. Thank you very much. I will requeue.
Operator: And your next question comes from the line of Paul Holden from CIBC. Your line is open.
Paul Holden - CIBC World Markets: Thank you. Good morning.
Thomas Kloet: Good morning.
Paul Holden - CIBC World Markets: Just wondering, with the slippage in market share at Alpha, means you remain dedicated to keeping that trading then, you (inaudible). I know in the past you said you had, so just wondering if there is a change in opinion or thought there?
Thomas Kloet: No, we are still committed to it. It's important that we offer customers choice, in terms of the pricing space that we are in, because Alpha is in a little different pricing point than TSX is, in terms of the active and passive fee structure. We wanted to give customers the opportunity to really select the price point, where they want to post their trades. So we see it as strategic to operate. But we have now taken the bulk of the costs of operating Alpha out. So with the cost structure right-sized, we still remain committed to having Alpha as a [market player].
Paul Holden - CIBC World Markets: Okay. So this is the implication then, given current volumes and cost reductions. Is that trading venue, still profitable on a standalone basis?
Thomas Kloet: Yes. Well it now is.
Paul Holden - CIBC World Markets: Right. Okay. And then, with respect to derivatives, there is just something I tend to ask about every quarter, but revenues down 8% year-to-date, seeing some more additional volume gains in Montreal, and big volume losses in the BOX. I mean, what's the path to driving higher revenue here? I mean, now let's say, it's a business you have talked about in the past, in terms of being an area of revenue growth. Sort of what -- may be you can talk what the factors that will lead potentially to revenue growth in 2014?
Thomas Kloet: Well, certainly volatility is our friend in the derivatives business. The relatively low volatility in equity markets, would (inaudible) that trade below 20. That's not our friend, when we are offering the expansion of tools. So volatility is an important factor, and BOX by the way, as a marketplace, is more competitive with it's price improvement market, in a more volatile equity market environment, than it is in a lower volatility equity market. So that would be one thing to look for. The same story would exist in our Industry products. Although that said, we had a central bank on the sidelines for quite some time now, both here in Canada and elsewhere in the world. Yet, we continue to build up volumes in our short term interest rate product. I am quite happy with our effort there, and I think we are growing at a faster rate than most of our competitors in that space. So we are making some real gains there. Though a little bit masqueraded by the fact that, BOX enjoyed some pretty significant market share gains last year that would flow through the comparable numbers, that they are not having right now, because of the change in equity market volatility, and frankly two more equity options markets being added year-to-date, doesn't help either. It's a very crowded space. All that said, BOX continues to be profitable for us, and its still a business we want to have an anchoring as well.
Paul Holden - CIBC World Markets: Okay. That's helpful. Then maybe just a point of clarification for Michael, it's related to the reduction in amortization expense and the refinancing, you said it was going to be C$1.3 million starting Q4, I assume that C$1.3 million is an annualized number?
Michael Ptasznik: That's the quarterly. So we wrote off C$18 million of the prepaid financing fees. So over the remaining three years, that's C$6 million, roughly C$6 million a year, it averages to C$1.3 million a quarter of savings on that. That's an addition to the reduction in the interest expenses of about C$3.5 million that we see coming in Q4.
Paul Holden - CIBC World Markets: Right. Then just to clarify, that's a number I guess you back out of your operating EPS though?
Michael Ptasznik: No, it's not backed out of the operating EPS. The one time adjustment of C$18 million was backed out for the adjusted EPS, but not the amortization of the fee.
Paul Holden - CIBC World Markets: Okay. That's helpful. Thank you for your answers.
Thomas Kloet: Sure.
Operator: And your next question comes from the line of Geoff Kwan from RBC. Your line is open.
Geoffrey Kwan - RBC Capital Markets: Hi. First question I had was just on the market data subscribers, if you are seeing any sign of the erosion there, turning around in the next couple of quarters? Just wanted to get your views on that?
Thomas Kloet: It's driven principally by appointment in the industry. So actually, you guys might have a better feel for that than we do, but our sense is that there has been, as you know, and we have seen it in the press and we have actually seen it as -- with the customers, that there has been some downsizing on the sell side. And, whether or not that kind of hit it's a point where it's going to be or not, be in a steady state. I don't think we know for sure. I think, my sense is that trading volumes have stabilized, but I've thought that in the past as well. The key driver there is industry employment.
Geoffrey Kwan - RBC Capital Markets: And is it typically, there is a little bit of a lag, in terms of the change in industry employments, and when you actually get kind of the revenue impact on both sides of it?
Thomas Kloet: Good question Jeff, for sure there is, and it's on both sides. Although, usually the ad of a subscriber comes a little faster than the [believable] subscriber, just because people want to put somebody to work. But you are right, there is usually a lag, and we are talking about lag in months, not in years. But, there is a two to four -- from my experience in the brokerage business, there is a two to four month, or even as long as six months, depending on the firm lag between when somebody leaves and when they ultimately get out of all the subscription agreements.
Geoffrey Kwan - RBC Capital Markets: Okay. And then the other question I had was, I know you talked about the challenging environment, just wanted to get your view on how you feel about, where the financing pipeline stands today, relative to last quarter?
Thomas Kloet: I think you saw some -- our stats come out yesterday on finance. It feels better, to be honest. It feels like there is a bit more inquiry coming into the marketplace. The fourth quarter often has a little bit better financing numbers, if you were to go back to history. But the question is, is that going to be sustainable? There is obviously a high profile IPO going on it, at another exchange today, that I think everybody knows about. And sentiments from those kind of things have long payouts. If I can scoop back to your earlier question Jeff, with respect to the data business, just to frame that, I remind everybody listening that, we do have a pretty diversified market data business, and while we are impacted to some degree, by employment in the industry. Our other elements of our data business, which includes our Atrium business, which is market connectivity, our collocation business, our similar index businesses, they tend to have a little bit different profile to them. So one has to look at the mix. But certainly, the employment industry is important for our traditional data business.
Michael Ptasznik: Just going to add on to Tom's comments about activity obviously. I think you guys probably saw the stats that came out yesterday, financings on the senior market, was about C$3.5 billion, compared to C$1.4 billion in September, and this is October, we are referring to, and that's on the senior market; and on debenture, C$790 million compared to C$172 million. And the number of financings are up as well. So again, not necessarily a turnaround, but definitely October was substantially better than September from [trade] financing and activity standpoint.
Thomas Kloet: If I can just add one other thing, we have had diversified -- if you look at what has happened this year, we have had a pretty diversified set of issuers coming to our market. Some of the more successful ones like the -- and large ones like the CP REIT, the Choice Property REIT, and both of those being real estate projects. The Bombardier Recreational products in the diversified space, or it's petroleum in the oil and gas space, Pattern Energy and TransAlta renewables in the clean-tech area, and Halogen in the tech side. So we have had, I think that embedded in the numbers is an important diversification of that listing sector, and we will continue to work on that.
Geoffrey Kwan - RBC Capital Markets: And Tom, you were kind of mentioned earlier about the collocation side and that's a thing that you have historically invested in trying to grow that business. How is that part of the market data business, than doing it in this environment?
Thomas Kloet: Actually reasonably good. We have managed to continue to add tenants in the added capacity we built about 18 months ago or so, to where we are, we hope to another inflection point, to decide what to do, whether to further expand or not in the future. But again, that business is somewhat impacted by participant's commitment to our market, and participation by the industry. But I am happy with where we are at there, and most numbers continue to grow, and somewhat offset that subscriber decrease that we talked about earlier.
Geoffrey Kwan - RBC Capital Markets: Okay great. Thank you.
Operator: Your next question comes from the line of John Reucassel from BMO Capital Markets. Your line is open.
John Reucassel - BMO Nesbitt Burns: Thanks Tom. Just to want to go back and just talk about the market share in equity trading again. So you mentioned the three things that have kind of eroded your share, the interests spread, the latency [arm] and the different pricing schemes. Are those first two, are they now fully baked into the numbers, or do we still have maybe more slippage there to go?
Thomas Kloet: No, I think they are pretty much baked in now, particularly the first one, and the third one just position, I guess, in my (inaudible) or John, I'd say somebody in a non-economic basis paying people, to just deliver something to them there, rather than revenue on it, they are paying people to do that. I think you know that I call that a pricing scheme, it's something that -- I guess people will choose to do that, but doesn't make economic sense to me. But the first two, I think we have actually seen them work their way through the market share numbers.
John Reucassel - BMO Nesbitt Burns: Okay. So I hear you, you're not sure what the long term economics are, paying people to post trades, but that could go on, right? So is it fair to say, we should expect some continue, maybe at a slower pace, but continue to see margin erosion in the equities volumes?
Thomas Kloet: Well, we are not forecasting that, so I will say that we weren't surprised that those three factors impacted our market share, for wherever we are at today. It's the pain for crosses that the other counterparty is doing is, has a relatively stable volume associated with it.
John Reucassel - BMO Nesbitt Burns: Then Tom, I am positive I missed it, but could you give us an update on the -- what you said on the repo clearing and how that's clearing?
Thomas Kloet: Repo clearing continues to grow at the dealer to dealer level. We are embarked on an effort with the dealer community to get the buy side into that facility, and if the buy side -- it's a (inaudible), we get the buy side into that facility, to reach the economicals that make sense for the organization. We are actively marketing it, it's something I am personally involved in, with (inaudible) at AMEX and PDCC, and it's important -- we think it's important for Canada, that the buy side is participating to provide the overall clearing structure necessary for continuing to build the fixed income repo market, as an important element of our capital markets. Clearly, you have heard the Bank of Canada's comments in the past about their support for us, building this facility. So I think those speak for themselves. What we have to do is, what we are working hard with, our partners from the dealer community and everybody else involved, is to show the buy side, that there is good reason for them to participate in that, and it's a project we are going to spend a lot of time on, over the next three to six months, to try to get them in. That's the next, John, that's the next critical step, for us being successful at this business.
John Reucassel - BMO Nesbitt Burns: Thank you. Just I guess, Michael, just on the banking facilities, just so I am clear, the change of control provisions are standard provision, there is nothing in there requires any of the banks signed on their stake of the pension funds from the Maple transaction, that doesn't trigger a change of control?
Thomas Kloet: No.
John Reucassel - BMO Nesbitt Burns: Okay. And because you termed out some of this debt, are you going to look to use cash flow for a few other things, that was in debt repayment, or is that not the plan going forward?
Michael Ptasznik: For the next little while, the primary use of the cash will be for paying down the debt. Obviously, we are going to continue to look for opportunities to invest and grow the business as well, but barring some opportunity, we are definitely looking to pay down the debt, that will be the primary use of that cash.
John Reucassel - BMO Nesbitt Burns: Okay. Thank you.
Operator: (Operator Instructions). Your next question comes from the line of Graham Ryding from TD Securities. Your line is open.
Graham Ryding - TD Securities: Hi gentlemen. I am just wondering if there is any update on where we stand with the CFAs review with market data, and if there is any expectation, planning around that file?
Thomas Kloet: Hi Graham, and welcome to the call. The first thing I would say is, no, we are not aware of any particular issues with CFAs looking at -- I think that's a relatively -- that's a point I will talk about a lot, and from my perspective, we haven't heard anything further on that. I can't comment where we are at with that. I think that, we responded to it, gave them a lot of data, and I really thought that the report they put out quite a while ago, spoke for itself and was pretty complete. So as far as I know, there is nothing further at this point.
Graham Ryding - TD Securities: Okay. I guess the other one is, on the revenue synergy side, part of the strategy behind the acquisition of CDS was potential revenue synergies. Can you flush that out for me, if there is any update on where you stand in that area?
Thomas Kloet: Well I think, our focus has been primarily on giving the expense synergies that we could out of the combination, and making sure we -- CDS was structured such that, while it was a fairly efficient platform, it was an efficient platform that did generate the capital we reinvested. We now have reduced the expense level within CDS since the synergy, and I think we are beginning to make the platform even more efficient. The next step, which our teams are working on, is kind of generate some of those new revenue opportunities, and we have a host of new products that we are actually looking at, trying to figure out what the market opportunities for those are. It's a little premature to discuss specifics on that, but we do see opportunities in some of the ones that we are public about, like cross margining, like providing additional services to our issuers, who are key constituents of the depository, and we have some ideas around that, but I think we need a little more time to focus on that, because we have changed, definitely the senior management within CDS, and we have to give that new team, time, to investigate those opportunities.
Graham Ryding - TD Securities: Okay. That's good color. Then just lastly, the pending arrival of Aequitas; are you looking at that as -- if they get approval, is it more of a potential headwind on your equity trading market share, and are you less concerned on listing side of their proposal, or how are you sort of handicapping your discounting that potential competition?
Thomas Kloet: I think first off, we have seen broad strokes, and what they intend to do. I see them as yet another competitor in an already highly competitive business, across all the businesses we have. And some of the things they want to do, are inconsistent with some of the core elements of the national instruments. We have to see how the rates will structure, and we will work our way through that. So we don't really know what the end core offering is going to look like. And remember, we are very much a wholesale provider, as opposed to trying to provide, versus some elements of the business. We are much more of a wholesale provider. So we have to see what comes out of that, I think there is some very fundamental rule changes that would have to go through a process, particularly around trading, and that will be visible to the whole industry, you will see it, and then ultimately, there will be an exchange [application head], which to my knowledge, hasn't been even filed yet. So there is a fairly long stream there, for something that wants to be very different, and as I said before, kind of elements that are inconsistent with -- or appears to be inconsistent with what (inaudible). With respect to the listings business, and [those comments] are mostly around trading. With respect to the listings business, Rand is a very important part of what we do. We don't know what their listings structure would look like, now that we took over Alpha, we have seen what [bears] look like, and it was -- we didn't think that their listing effort had a chance to be successful, so happens to be, that this one has a different set of elements. I would remind people that, we offer from a listing venue standpoint, a pretty complete solution, with a two-tier listing model, servicing customers across their life cycle of a company, from very early stage on our venture markets, through some large cap companies in the world, and in our senior market, at the high end. And we really have, what I think is an excellent listing structure across that continuum. That comprehensive solution, together with our brand and the 160 years of experience that we have in developing a financing market, that still ranks even with -- it feels like it has been a relatively slow year in financing. But the last time, I looked at the industry stat, I think we were fifth in the world in terms of dollars rate and financing on our market, which is stronger than our GDP position would indicate. So customers seem to like our venue as a financing venue. Last year, we were third in the world in terms of financing rates. So we are doing some things right on the listing side. I think that this is the value add business, where we really have a great comprehensive team offering those services. All that said, we will take any competition, whether it's that or New York Stock Exchange or NASDAQ or LSE or anybody else that we compete with, when we compete around the world for listings, very seriously.
Graham Ryding - TD Securities: Okay. Appreciate the color. Thanks.
Thomas Kloet: Sure.
Operator: And we have no further questions in queue. I will turn the call back to the presenters.
Paul Malcolmson: Thank you, Lisa, and also thank everyone for joining us today. The contact information for media, as well as for Investor Relations is in today's press release, and we'd be happy to take any further questions. Once again, thank you and have a great day.
Operator: This concludes today's conference call. You may now disconnect.